Operator: Good afternoon. Welcome to Airgain's Fourth Quarter and Full Year 2025 Conference Call. My name is Kevin, and I'll be your operator for today's call. Joining us today are Airgain's President and CEO, Jacob Suen; and CFO, Michael Elbaz. As a reminder, this call will be recorded and made available for replay via link found on the Investor Relations section of Airgain's website at investors.airgain.com. [Operator Instructions] I caution listeners that during this call, Airgain's management will be making forward-looking statements about future events as well as Airgain's business strategy and future financial and operating performance. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in today's earnings release and Airgain's SEC filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, February 26, 2026. Airgain undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition, this conference call will include a discussion of non-GAAP financial measures. Please see today's earnings release for further details, including a reconciliation of GAAP to non-GAAP results. Now I'd like to turn the call over to Airgain's CEO, Jacob Suen. Jacob, please go ahead.
Jacob Suen: Good afternoon, everyone. And thank you for joining us. First, I would like to reflect on 2025, which was a pivotal and highly productive year for Airgain as we executed against our long-term strategy and position the company for its next phase of growth. During the year, we strengthened the resilience of our existing business, improved margins and reinforce our financial foundation. We expanded our design win pipeline with Tier 1 service providers, securing important new programs that deepen our strategic customer relationships and position us for growth. We also made significant progress advancing our AirgainConnect vehicle gateway platform and our Lighthouse infrastructure platform. Both platforms achieved important technical validations, customer engagements and ecosystem milestones that move them closer to scaled commercial deployment. Together, these accomplishments marked an important transition for Airgain. Over the past several years, we have defined our strategy, develop differentiated platform solutions and validated them with customers. As we enter 2026, our focus is increasingly centered on commercial execution, converting our growing pipeline into deployments in scaling our platforms to drive sustainable long-term growth. This transformation is loaded in Airgain's DNA, our deep RF engineering expertise, system-level design capabilities and long-standing carrier relationships. By leveraging this strength we have deliberately repositioned Airgain beyond component level products into integrated connectivity platforms addressing large and expanding opportunities across fleet, enterprise and infrastructure markets. At the same time, we have remained disciplined in managing our business. We improved gross margins, optimized our cost structure and focused our investments on the highest ROI opportunities. These actions have lowered our breakeven point and improved the scalability and resiliency of our business. While fourth quarter revenue came in at the lower end of our guidance range, this was driven primarily by timing dynamics rather than any structural change in demand. Importantly, the strategic progress we have made has strengthened our competitive position, expanded our growth opportunities and reinforced our confidence in Airgain's long-term outlook. With our existing business, providing a stable generating foundation and our strategic platforms advancing towards commercialization, we believe Airgain is entering an important phase focused on execution, scaling and realizing the significant opportunities ahead. Let me begin with our core markets, starting with Consumer. Our Consumer business continues to perform well and remains a critical foundation for Airgain, benefiting from the transition to Wi-Fi 7 and our deep relationships with Tier 1 cable and mobile network operators. Consumer revenue reached $26.1 million for the full year, representing a 20% increase compared to 2024. Just as importantly, this business continues to deliver strong adjusted EBITDA profitability, reflecting the strength of our brand, technology leadership, strategic customer relationships and disciplined operating model. Our Consumer business remains a critical strategic foundation for Airgain, providing durable revenue, strong cash generation and the financial stability to continue investing in and scaling our growth platforms. Historically, our Consumer business was primarily focused on leading MSOs, where we established strong incumbency positions and long-standing customer relationships. Over the past few years, we have successfully applied that same strategy and approach to Tier 1 MNOs, expanding our engagement into larger, longer duration programs. As a result, we are increasingly involved early in the design cycle, working alongside customers as a strategic partner to help optimize system performance and connectivity architecture. We believe this deeper integration strengthens our incumbency and reinforces Airgain's position as a trusted connectivity partner across Tier 1 service providers as our solutions become embedded in next-generation broadband platforms. This growing incumbency and the stickiness of our relationships with Tier 1 MNOs directly enabled our most recent design win. As you saw from our press release earlier this week, we secured a multiyear, multimillion dollar embedded antenna design win supporting a next-generation 5G home connectivity platform for a Tier 1 North America MNO. This program includes antenna systems for both a 5G fixed wireless access router and an in-home Wi-Fi extender and is expected to enter mass production later this year. This win builds on our previously announced Wi-Fi 7 design win for a next-generation fiber broadband gateway with another Tier 1 North American MNO. In addition, a program we secured with a large European operator, 2 years ago is now ramping into production and recent industry consolidation among Tier 1 MSOs has expanded our project opportunities and strengthen our design win pipeline. These design wins reinforce our brand's strength and validate our position as an incumbent connectivity partner with Tier 1 carriers. Importantly, these relationships extend beyond our consumer business as customers view Airgain as a trusted connectivity partner. They create strategic pathways for our AirgainConnect vehicle gateway platform and Lighthouse infrastructure platform, expanding our opportunity to support broader enterprise and infrastructure connectivity deployments. While we expect consumer growth to be modest in 2026, we believe the depth of our customer relationships, expanding design win pipeline and growing incumbency position provide a strong foundation for future growth as these programs scale through 2026 and into 2027. Turning to our Enterprise market. We continue to sharpen our focus on higher-value opportunities while strengthening the profitability in strategic positioning of this business. IoT represented the majority of our Enterprise revenue in 2025. While revenue declined year-over-year, due to excess inventory at a large customer, which discussed previously, the profitability of this business improved significantly. Over the past year, we took deliberate actions to focus on our Skywire embedded modem portfolio, improving product mix, increasing gross margin and optimizing operating expenses. These actions reflect our disciplined approach to investing in areas where we see the strongest long-term return and greatest strategic value. Our Skywire portfolio continues to benefit from strong brand recognition and customer loyalty, Skywire is widely recognized for its reliability, pre-certification and ease of integration, enabling customers to accelerate deployment time lines and simplify deployment. These advantages make Skywire an increasingly attractive solution across a wide range of IoT applications, reinforcing our position as a strategic connectivity partner. We are also making strong progress on our Cat 1 bis Embedded Modem roadmap within the Skywire portfolio. Cat 1 bis is an emerging cellular standard optimized for IoT applications, offering lower costs, lower power consumption and longer product life cycles while maintaining reliable LTE connectivity. Importantly, we are seeing growing validation of the Skywire platform through new customer engagements and design wins. Late last year, a large industrial infrastructure customer selected our Cat 1 bis Skywire modems as part of a major deployment initiative. This engagement highlights the growing customer preference for precertified fully integrated connectivity solutions that simplifies deployment, reduce engineering complexity and accelerate time to market. We will also secured a design win with an emerging robotics customer developing next-generation autonomous systems. They selected Skywire for its reliability, pre-certification and ability to support seamless nationwide connectivity across distributed robotic fleets. This win expands Skywire into the fast-growing robotics and automation market and demonstrates the platform's ability to support increasingly advanced and mission-critical applications. These design wins reinforce Skywire's strong competitive positioning and demonstrate its expanding role across industrial infrastructure, robotics and other emerging IoT segments. Taken together, these actions have strengthened the financial and strategic foundation of our IoT business. We expect modest growth in 2026 as customer inventory levels normalized and new design wins scale into production in the second half of the year. Turning to our other core markets. Our aftermarket antenna business continues to be affected by excess channel inventory. Meanwhile this has created short-term variability, we have taken a disciplined approach to managing this business focusing on profitability and operational efficiency. Turning now to AirgainConnect and our broader vehicle gateway strategy. AirgainConnect represents a key pillar of our long-term platform strategy and reflects Airgain's evolution to our delivering integrated system-level connectivity solutions. Vehicle gateways have become an increasingly critical as enterprise, utility, infrastructure and public safety operators rely on continuos high-performance wireless connectivity to support mission-critical field operations. Our AirgainConnect AC-Fleet platform is a fully integrated all-in-one vehicle gateway solution that combines high-performance antennas, embedded cellular modems and secure cloud-based management into a ruggedized system purposely built for demanding mobile environment. This integrated architecture delivers superior performance, simplifies deployment and improves operational reliability for customers operating in harsh real world conditions. AC-Fleet is highly differentiated in the market due to its system-level integration, rugged design and ability to support mission-critical applications, where connectivity performance, durability and reliability are essential. We continue to make strong progress expanding and advancing our AirgainConnect pipeline, reflecting increasing customer engagement and growing validation of our platform. As of last week, our pipeline includes approximately 100 active opportunities, including 40 Tier 1 and Tier 2 opportunities, roughly double the number we had just a few months ago. These larger, more strategic opportunities now reflect expanding engagement with major enterprise, utility, sanitation and infrastructure customers. Just as importantly, these opportunities are progressing meaningfully toward commercialization. More than 1/4 of our Tier 1 and Tier 2 opportunities are in trial or negotiation basis, and we believe this demonstrates clear customer validation and the advancement toward potential deployment. We are also seeing a significant shift in the competition of our pipeline. Many of our largest opportunities are now outside the traditional first-responder market, reflecting strong momentum in enterprise, fleet, sanitation and utility applications. These markets represent larger deployment opportunities and shorter sales cycle. A clear example of this progress is our large utility customers engagement, which has advanced from an initial product evaluation to a broader enterprise level initiative. This expansion significantly increases the potential scope and long-term value of the opportunity reinforcing the strength of our platform and value proposition. Overall, the growth, quality and advancement of our pipeline reflect increasing market adoption, positioning AirgainConnect to contribute more meaningfully as we move to 2026 and beyond. As part of our commitment to this vehicle gateway strategy, I'm excited to announce that we recently acquired the HPUE or High Power User Equipment product line from Nextivity. This acquisition brings proven field-deployed technology into Airgain's portfolio and expands our ability to support mission-critical connectivity applications. HPUE technology improves uplink performance, extends network reach and enables reliable connectivity in demanding operating environments. It is actively deployed today across commercial and public safety networks, including FirstNet, where performance and reliability are essential. The additions of HPUE expands and strengthens our AirgainConnect platform, enhancing our ability to deliver more comprehensive, high-performance connectivity solutions for enterprise, fleet, utility and public safety customers. Strategically, this acquisition expands our vehicle gateway portfolio, customer engagement and addressable market positioning us to capture long-term value as mission-critical connectivity requirements continue to evolve. Together, AC-Fleet and HPUE significantly strengthen our vehicle gateway competitive positioning as we capitalize on the growing demand for reliable system-level connectivity solutions across enterprise and infrastructure markets. While AirgainConnect focuses on enabling reliable connectivity in mobile environment, our Lighthouse platform extends these capabilities into fixed infrastructure, enabling carriers, tower operators and enterprise customers to improve network coverage, capacity and performance. Turning now to Lighthouse. Lighthouse represents our infrastructure platform focused on expanding and improving cellular coverage across both indoor and outdoor environments. As a reminder, Lighthouse is designed to help carriers, tower operators and enterprise customers to extend network coverage, improve performance and optimize capacity in areas where traditional infrastructure deployment is difficult, costly or insufficient. As network operators continue to expand 4G and 5G coverage and address growing data demand, we believe Lighthouse represents a significant long-term opportunity for Airgain. During the quarter, we successfully completed two important Lighthouse trials that demonstrate the real-world volume and technical differentiation of our platform. In a domestic trial with a Tier 1 U.S. mobile network operator, Lighthouse demonstrated the ability to significantly improve network performance through advanced carrier aggregation and capacity of loading capabilities. In this 1-day deployment, Lighthouse enabled seamless uploading of congested LTE traffic onto underutilized 5G spectrum, improving overall network efficiency and performance. This capability is particularly important for operators as they manage growing network congestion while maximizing the value of the existing spectrum and infrastructure investments. Internationally, we also completed a live trial with a major global tower operator and a large convention center in Latin America. This deployment demonstrated Lighthouse ability to support multiple carriers simultaneously and rapidly improve network performance in a high-density environment. These results validate Lighthouse ability to address complex real-world coverage challenges and reinforce its applicability across a wide range of infrastructure deployment scenarios. These successful trials represent important milestones and further validate the strength and differentiation of our technology. In parallel, we established our first system integrator partnership in the U.S., and are actively engaging with additional system integrators to expand our routes to market. System integrators play a critical role in deploying and scaling infrastructure solutions, and the engagement represents an important step in accelerating Lighthouse adoption in commercialization. We are also finalizing a strategic partnership with a leading global provider of intelligent cellular coverage solutions to codevelop next-generation integrated 4G and 5G coverage platforms. This partnership combines Lighthouse with complementary cellular coverage technologies to deliver more comprehensive and scalable solutions for operators, enterprises and infrastructure customers. Importantly, it expands Lighthouse applicability across a broader range of deployment scenarios, including complex indoor and outdoor environments. This collaboration represents a significant strategic milestone for Lighthouse. It validates the strength of our platform, enhances our ecosystem positioning and accelerates our ability to bring integrated infrastructure solutions to market. We look forward to sharing more details at Mobile World Congress next week and believe this partnership represents an important catalyst, while advancing Lighthouse commercialization and long-term growth. Taken together, the progress we are making across trials, customers engagement and partner development and reinforces our confidence in Lighthouse long-term opportunity and positions the platform to begin contributing more meaningfully as deployments scale over time. With that, I'll turn the call over to Michael to review our financial results. Michael?
Michael Elbaz: Thank you, Jacob. Before diving into the numbers, please note that my review of our financial results and guidance refers to non-GAAP figures. Information about the non-GAAP financial measures, including GAAP to non-GAAP reconciliations can be found in our earnings release. Now let's turn to our fourth quarter results. Q4 sales came in at $12.1 million, which was at the low end of our guidance range, primarily reflecting timing and supply factors within our Enterprise embedded modems product line. These dynamics were timing related and did not reflect a change in underlying customer demand. Consumer sales reached $7.3 million, reflecting another strong sequential performance, driven by increased Wi-Fi 7 antenna shipments to cable operators. $7.3 million, represents the highest quarterly consumer revenue since Q3 of 2022, reflecting the successful transition of MSO customers to next-generation Wi-Fi 7 platforms and reinforcing the strength and durability of our Consumer business. Enterprise sales came in at $4.3 million, down $2.6 million sequentially, driven by lower embedded modems and enterprise antenna sales. Automotive sales came in at $0.5 million, flat sequentially. Non-GAAP gross margin for the fourth quarter was 46.3%, 230 basis points higher than the midpoint of our guidance, and a 190 basis point sequential increase. The sequential gross margin improvement was driven by a favorable product mix in the consumer market, along with operational efficiencies. Non-GAAP operating expenses for the fourth quarter totaled $5.9 million, in line with our guidance and slightly lower sequentially. In Q4, adjusted EBITDA was negative $0.2 million compared to $0.1 million midpoint of guidance. Non-GAAP EPS was negative $0.03. As of December 31, 2025, our cash balance was $7.4 million, up $0.3 million sequentially, primarily due to cash proceeds of $0.4 million from our ATM. Turning to our results for the full year of 2025. Sales totaled $51.8 million, down $8.8 million or 15% compared to the prior year. Consumer sales were $26.1 million for the full year, up 20%, driven by increased shipments to both cable and mobile network operators. Following typical seasonal softness in the first quarter, we expect the Consumer business to grow modestly, supported by ongoing MSO demand and the expected ramp of recently secured Tier 1 MNO design wins in the second half of 2026. Enterprise sales were $22.6 million, down $6.9 million or 23% year-over-year, primarily due to excess inventory at a strategic IoT customer and more enterprise antenna demand. We expect the enterprise market to grow in 2026, driven by modest growth in our IoT business and revenue contributions from our Lighthouse platform in the second half of the year. Automotive sales were $3.1 million, down $6.3 million year-over-year reflecting lower demand and excess channel inventory in the aftermarket antenna business. We expect the automotive market to return to growth in 2026, driven by increasing revenue contributions from our AirgainConnect platform. Non-GAAP gross margin was 44.6%, up 260 basis points year-over-year, driven by Consumer and Enterprise margin increases. These improvements reflect the favorable product mix within these markets, the ramp of differentiated higher-margin products and the impact of cost reduction and operational efficiency initiatives implemented over the past year. Looking ahead, we expect higher value platform solutions, such as AirgainConnect and Lighthouse to further support gross margin expansion in 2026 and beyond. Non-GAAP operating expenses totaled $25.1 million, reflecting a 6% decrease year-over-year. Despite the decline in expenses, we increased engineering, sales and marketing expenses for our AirgainConnect and Lighthouse platforms by approximately 15%, while reducing comparable expenses in our core markets by approximately 30%. These actions significantly improved the contribution margins of our core markets and demonstrated the structural efficiency gains that we have made across the business. In 2025, we took disciplined steps to optimize our cost structure and build a more efficient and scalable organization. As a result, Airgain is now better positioned to drive stronger profitability and operating leverage as revenue grows. For the full year 2025, adjusted EBITDA was negative $1.5 million, compared to negative $0.8 million in 2024, reflecting continued investment in our platform strategy. Non-GAAP net loss per share was $0.17. Now moving to our outlook for the first quarter ending March 31, 2026. As a reminder, we provide quarterly guidance for sales, non-GAAP gross margin and expenses, non-GAAP EPS and adjusted EBITDA as we believe these metrics to be key indicators of the overall performance of our business. For the first quarter of 2026, we project sales to range from $10.5 million to $12.5 million, with a midpoint of $11.5 million. The midpoint represents a 5% sequential decline driven by the consumer seasonal impact. We expect non-GAAP gross margin for the first quarter to be in the range of 43.5% to 46.5%, or 45% at the midpoint. We expect operating expenses to remain flat at approximately $6 million. Non-GAAP EPS is expected to be negative $0.07 at the midpoint of our guidance. Adjusted EBITDA is expected to be negative $0.7 million at the midpoint of our guidance. Overall, the actions that we have taken over the past year have strengthened Airgain's operating model and position the company for improved financial performance as we move through 2026. We expanded gross margins, improved the efficiency and contribution margins of our core markets and establish a more scalable cost structure, the strength and profitability of our core markets, specifically consumer and IoT provide the financial foundation to support continued investment in our growth platforms. As AirgainConnect and Lighthouse progress toward commercialization, we believe Airgain is well positioned to drive revenue growth, margin expansion and increased operating leverage. Now I would like to turn the call back over to Jacob for his closing thoughts. Jacob?
Jacob Suen: Thanks, Michael. As we look ahead, Airgain is operating from a position of strength, supported by the stronger foundation, expanding platform capabilities and growing strategic momentum. We have entered the next stage of our evolution, focused on commercial execution, scaling our platforms and converting our expanding pipeline into meaningful revenue growth. While near-term timing dynamics and the natural growing pains of scaling a platform business remain. The progress we are making is clear. Customer engagement is accelerating, our pipeline continues to expand, and we are advancing key initiatives that position us to scale and accelerate commercialization. We are strengthening our go-to-market capabilities with the addition of Frank Jules as Strategic Adviser. Frank previously served as President of AT&T Global Business Solutions, where he led a $44 billion organization, serving enterprise and carrier customers worldwide. His deep industry relationship and strategic insights are already helping accelerate customer engagement and open doors with key enterprise and carrier customers. His involvement enhances our ability to scale our go-to-market efforts, expand our reach with strategic customers and more efficiently convert pipeline opportunities into commercial deployments. We are also strengthening our platform towards strategic and capital-efficient initiatives, including the acquisition of the HPUE product line from Nextivity, which enhances our leadership in mission-critical connectivity. In addition, the strategic co-development partnership, we mentioned will further enhance Lighthouse capabilities and accelerate its path toward commercialization. At the same time, our core markets continue to provide a stable and cash-generating foundation that supports ongoing investment in our growth platforms. Importantly, the work we have done over the past few years has fundamentally repositioned Airgain. We have strengthened our operating model, improved margins, expanding our addressable market and build differentiated platform capabilities aligned with large and growing connectivity opportunities. We are encouraged by the continued expansion of our pipeline, the strengthening of our go-to-market capabilities and recent multiyear design wins with Tier 1 service providers, which reinforced the durability and strategic importance of our core business. Our priorities are clear: execute with discipline; convert pipeline opportunities into deployments; accelerate commercialization; and scale our platforms to drive sustainable growth. We are confident in our strategy, encouraged by our progress and believe Airgain is well positioned to deliver meaningful long-term growth. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question today is coming from Jaeson Schmidt from Lake Street Capital.
Jaeson Schmidt: Just curious if you could update us on what we should be looking for, for the next steps for these Lighthouse trials? Obviously, they were completed this past quarter. How should we think about these opportunities finally impacting the P&L?
Jacob Suen: Yes. Jaeson, great to have you joining us. Yes, great questions, by the way. So for the trial that we mentioned for the U.S. market, the trial was very successful. So now we're engaging with their business side, the product side, on a couple of things. One is to creating a business plan, a business support case. Additionally, we are also working on the networking capability. As far as the international opportunity that we mentioned in Latin America, also been very successful. And as a result of that, we're actually going to have a follow-up meeting next week doing MWC with the executive members to discuss the next step.
Michael Elbaz: And Jaeson, in terms of timing, your question there, those are -- we're not counting on those for any FY '26 revenues, but this would be for '27. What we are accounting on in FY '26 are really the system integrators that we have in the U.S., we have one partner so far. We are actively working on signing a couple of them as well to over the next few months. And this will definitely allow us to have more of a deployment of some of the critical needs that exist in the U.S. In the Middle East, we're also making progress there as well, too, with our partner, Omantel, but also with other Middle Eastern partners, but we foresee that to be a meaningful contribution from a revenue standpoint certainly in the second half of 2026.
Jaeson Schmidt: Okay. That's really helpful. And then looking at the Nextivity product line announcement, just curious if there is a built-in customer base here? Or how we should be thinking about the potential demand pull for these products?
Michael Elbaz: Very good question, Jaeson. I'll start and then Jacob can weigh on that as well too. So first of all, we are very excited about this acquisition. This is a small acquisition, but it is highly strategic to our vehicle gateway platform. Just a couple of items there is that it is a noncash, non-equity type of acquisition. We essentially are acquiring the HPUE intellectual property along with the customer base. And we're basically going to be running the MegaFi 2 product line, supporting the current FirstNet customers, with a goal of expanding the current revenue run rate by the end of the year. I'm mentioning this because as part of the acquisition, we also have entered into a reseller agreement with Nextivity. Nextivity has been working on some international customers who are interested with the HPUE solution. And therefore, once those designs are won and the project revenue start to ramp up, certainly by the end of this year, we'll be able to support Nextivity on the -- with this reseller agreement. To give you a sense about the revenue run rate, last year's revenue, we are close to $2 million or about $0.5 million of run rate on a quarterly basis with a potential uptick by the end of 2026 and '27 as those international customers ramp up. And most importantly is that this acquisition here is going to be adjusted EBITDA on day 1. Jacob?
Jacob Suen: No, yes, I think that's -- Michael, you said it well. I think that is really going to enhance us both domestically with the FirstNet partnership. And that's one of the main reasons that we are also really attracted because, as you know, we value the first responder market with our AC-Fleet. So there's a lot of synergy between the AC-Fleet and HPUE. It really fits another piece of the puzzle as far as the overall AirgainConnect platform is concerned. So we're really excited about this particular acquisition and we look forward to work with our partners, FirstNet partners and also our SIs to really expand this product line domestically and internationally.
Operator: [Operator Instructions] Our next question is coming from Anthony Stoss from Craig-Hallum Capital Group.
Anthony Stoss: Jacob, Michael, you've always had a strong pipeline on the AirgainConnect, lots of trials. What can you do to convert those into sales faster? And I'm just curious why haven't a lot of these converted much sooner? And then I have a follow-up after that.
Michael Elbaz: Yes. Thank you, Tony, for the questions. So let me start as well too. So first off, we're making some really good progress on the pipeline. As you pointed out, it is actually growing. We have currently about 100 active opportunities. Last November update, we provided 80 of overall opportunities, but unlike last November, we currently have about 40 of Tier 1 and Tier 2 opportunities today compared to 20 last November. So what changed here is that we are becoming much more successful with the non-first responder markets. Those tend to be a lot faster, and those represent the utility, the sanitation and the fleet enterprise or the enterprise fleet, I should say, customers. And those are coming online from a pipeline standpoint and they're also very eager to even start trials faster than first responder. First responders tend to have quite a bit of budget constraints or government funding, whereas some of those private and public companies have a much more centralized commercial decision-making process. So if we go back to the cycle time that we have mentioned before, with Tier 1 being 12 to 18 months of a cycle time and the Tier 2 being 6 to 12 months of a cycle time. If we go back to -- and I'll start with the AT&T certification as the clock starts, we are right on the cusp of closing down some of the Tier 2 customers, and we expect to have a couple of those by the end of this quarter. and start ramping up in Q2, certainly. And the Tier 1 would be definitely slated in Q4. Now things may change, of course. But right now, we feel we are progressing. We, of course, want to be doing faster, but we also have a handful with a lot of trials going on right now. Jacob?
Jacob Suen: No, I was going to add that we're actually in negotiation stage with a number of these opportunities. So we're getting closer and closer to be able to get some of the bigger deals as soon. We're getting the smaller deals. But the bigger deals are the one that takes longer time, but we are -- in our mind, we are right on track at this point.
Anthony Stoss: Got it. And then two-part question probably for Michael. You commented that you expect gross margins to be up year-over-year. Do you need a whole bunch of these AirgainConnect people to convert to hit that bogey? And then also OpEx, do you expect to be roughly flat from where it was December and the March guide for the remainder of the year?
Michael Elbaz: Yes. So on the gross margin, right now, where we are right now is a good place to be. And the fact of the matter is that Lighthouse and AirgainConnect are certainly higher margins than our corporate average, mainly because they are premium value type of solutions. And so depending upon the revenue that we estimate that will have a change on the overall gross margin. But as it come online, especially in the second half of 2026, we expect to see a benefit on our gross margin. From an OpEx standpoint, as I mentioned, in 2025 was quite a bit of a "transformation year" because we certainly optimize the overall cost structure of our core markets or existing business lines, and we were able to really make those quite profitable, specifically our consumer business and our IoT business as well too. And likewise, directing and reallocating some of those resources towards the growth platform. And so we expect that trend to continue. However, from an expense standpoint and vis-a-vis the overall EBITDA goal that we have, we expect to be remaining flat in Q1, likely to be flattish also in Q2. And then as the revenue ramps in the second half of the year, hopefully, we'll be able to increase our overall OpEx as well during the second half of the year.
Operator: At this time, that concludes our question-and-answer session. If your question was not answered, you may contact Airgain's Investor Relations team at AIRG@gateway-grp.com. I'd now like to turn the call over to Mr. Suen for closing remarks.
Jacob Suen: Thank you all for your thoughtful questions and for your continued interest in Airgain. If there's one key takeaway it is that Airgain is a more focused and disciplined company entering 2026 with a stronger foundation and improving operating model in a position for sustainable growth and increasing platform adoption. We believe the strategic foundation we have built positions Airgain to deliver meaningful and sustainable long-term growth. Michael and I will be attending the 38th Annual ROTH conference in Dana Point next month, and we look forward to connecting with many of you there and continuing the conversation. Operator, you may now conclude the call.
Operator: Thank you for joining us today for Airgain's Fourth Quarter and Full Year 2025 Earnings Call. You may now disconnect.